Operator: Hello, and welcome to Colliers International Second Quarter 2021 Investor Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ for those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and the company's annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is August 4, 2021.  And at this time, for opening remarks and introductions, I would like to turn the call over to the Global Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, and thanks for joining us for this second quarter conference call. I'm Jay Hennick, Chairman and Chief Executive Officer of the company, and with me today is Christian Mayer, Chief Financial Officer. As always, this call is being webcast and is available in the Investor Relations section of our website. A presentation slide deck is also available there to accompany today's call. As you know, earlier today, Colliers reported robust second quarter results with strong momentum across all service lines. During the quarter, both capital markets and leasing were up materially versus the prior year, and when comparing the results to the same period in 2019 pre-pandemic. Revenues from capital markets were also up materially while leasing mostly recovered, although slightly still below the 2019 levels. Our outsourcing and advisory and investment management service lines posted strong high-teens internal growth versus the prior year. Investment Management had another record-breaking fundraising quarter, raising more than $2 billion and bringing total assets under management to more than $44 billion. And both Colliers Engineering & Design and Colliers Mortgage delivered excellent year-over-year performance as we continue to accelerate the growth of these business lines for the future.  I apologize for the cutoff participants. But earlier today, as I've already mentioned, Colliers reported robust second quarter results with strong momentum across all service lines. During the quarter, both capital markets and leasing were up materially versus the prior year. And when we compare those results to the same period in 2019, which was the pre-pandemic, revenues from capital markets were also up materially this year while leasing mostly recovered, although still slightly below 2019 levels. Our outsourcing and advisory and investment management service lines posted strong high-teens internal growth versus the prior year. Investment Management had another record-breaking fundraising order, raising more than $2 billion and bringing our total assets under management to more than $44 billion. And both Colliers Engineering & Design and Colliers Mortgage delivered excellent year-over-year performance as we continue to accelerate growth of these service lines for the future. Based on our strong results to date, we are again raising our full year financial results. I was glad to see capital markets and leasing recover so nicely, although they were obviously affected by the pandemic as was the case for so many others. We should remember that these services are really essential services, needed by our clients everywhere we do business. So ultimately, we would have expected them to recover as we are seeing now. Let's hope the recovery in leasing, especially continues. Finally, after quarter end, as you'll hear from Christian, Colliers announced the private placement of a new series of senior notes providing us with additional low-cost, long-term debt capital, bringing our overall liquidity to more than $1 billion. The bottom line is Colliers is a highly respected global company with excellent growth prospects, and we keep getting stronger. We are highly diversified by revenue, by client, by asset class and by geography, and we're more resilient than most, with about 50% of our revenues and 54% of our EBITDA coming from stable, recurring and long-duration service contracts. These fundamentals are very hard to beat. With our proven track record of more than 27 years balanced and diversified business model, unique enterprising culture and, of course, significant inside ownership. Colliers is well positioned to continue to create exceptional value for shareholders for many years to come. Now let me turn things over to Christian for some comments, and then we'll open up things for questions. Christian?
Christian Mayer : Thank you, Jay. As announced earlier, Colliers reported robust second quarter financial results. My comments follow the flow of the slides posted on the Investor Relations section of colliers.com to accompany this call. Please note that the non-GAAP measures referenced on this call are as defined in the press release issued today. All our consists of revenue growth are expressed in local currency. Second quarter 2021 revenues were $946 million, up 64% relative to the prior year. Capital markets and leasing were up materially compared to the prior year's pandemic impacted levels and drove our 47% internal revenue growth rate for the quarter. The remainder of the growth came from the positive contribution of acquisitions completed in the past year. Compared to 2019, pre-pandemic peak levels, capital markets were up 34% internally, while leasing recovered to within 9% of 2019 levels. Q2 consolidated adjusted EBITDA was $137 million, more than double the $60 million reported 1 year ago, with margins of 14.4% versus 10.9% in the prior year quarter. Our margin benefited from the rebound of capital markets and leasing revenues, as mentioned, active operating cost management in light of the pandemic and the favorable impact of acquisitions. Second quarter Americas region revenues were $583 million, up 84% over the prior year period. Capital markets revenues were up 141%, driven by strong debt origination revenues, as well as significant increase in industrial and multifamily sales transaction activity. Leasing revenues were up 72%, largely due to stronger industrial leasing activity across the region, versus the prior year period. Office leasing activity has also started to pick up, but remains well below pre-pandemic levels. Outsourcing & Advisory revenues were up 64%, driven by recent acquisitions and internal growth. Adjusted EBITDA was $79 million, more than triple the $24 million reported last year, with operating leverage from higher revenues, the impact of higher-margin acquisitions and reduced operating costs from measures implemented during the pandemic. EMEA's second quarter revenues were $159 million, up 45% from 1 year ago, with strong revenue increases in each service line, most notably in capital markets. Adjusted EBITDA for the region was $21 million relative to $6 million last year on higher revenues and cost savings from measures implemented due to the pandemic. Second quarter Asia Pacific revenues were $154 million, up 38% relative to the prior year period, with all service lines reporting robust growth particularly in Australia and New Zealand. Adjusted EBITDA was $21 million compared to $12 million last year, with the increase attributable to operating leverage and active cost management during the pandemic. Certain parts of Asia Pacific are experiencing a certain surge in COVID-19 variant cases, which led to further lockdowns during the quarter. We are mindful of the impact this could have on activity for the second half of 2021. Investment Management revenues were $51 million, up 21% versus the prior year period and reflected only recurring management fees as there was no carried interest reported in either period. Assets under management were $45 billion at quarter end, up 25% from 1 year ago, and reflected another record quarter of fundraising following on the record results achieved in the first quarter. Adjusted EBITDA for the quarter was $21 million, up from $17 million, generated in the prior year period. Operating cash flow for the first 6 months of 2021 was $19 million, but adjusted for the nonrecurring cash component of the long-term incentive arrangement settlement was $115 million relative to cash usage of $93 million in the first half of 2020. Cash flow was positively impacted by higher earnings and a reduction in working capital usage, primarily related to accrued compensation. Capital expenditures for the first half of the year were $33 million, a significant increase from the prior year and reflected investments in facilities in several markets, including certain markets where we deferred relocations and expansions during the pandemic. For the full year 2021, we expect CapEx to be in the range of $65 million to $75 million, and about 1/3 of this CapEx will be landlord-funded leasehold improvements. Turning to our debt capital structure. Our net debt to pro forma adjusted EBITDA was 0.9x at June 30, a decrease of 0.1x relative to year-end. At quarter end and pro forma for our recently announced senior note issuance, we had over $1 billion of liquidity available to fund future acquisitions and ongoing operations. Our balance sheet is in a very strong position with low leverage, low borrowing rates, ample liquidity and latter debt maturities extending to 2031. We are extremely well positioned to make incremental investments in our business and continuing creating shareholder value for many years to come. As mentioned by Jay, we are again updating and increasing our financial outlook for the year 2021. A number of factors contributed to the increase, including the strong results for our second quarter. Going forward, we expect operating costs to increase during the second half of the year, as support staffing levels returned to normal and restrictions on travel and social gatherings ease around the world. Our updated outlook for revenue is an increase of 20% to 30% relative to 2020. And for adjusted EBITDA, we now expect an increase of 25% to 35%. We will reassess and update our outlook again after the third quarter. This outlook is subject to the risks and uncertainties as outlined in the accompanying slides. It is also important to note that we have now passed the full year anniversaries of the significant acquisitions completed last year. And as a result, the growth embedded in the outlook going forward will largely be internal. Further, operating performance in the second half of last year improved relative to the early stages of the pandemic. And as such, we expect variances for the remainder of the year to be more modest. That concludes my prepared remarks, and I would now like to turn the call back to the operator for questions.
Operator: . Our first question comes from the line of Frederic Bastien with Raymond James.
Frederic Bastien : Jay, can you please discuss the factors that drove the strong internal growth on the outsourcing and advisory side? And just wondering if the strength was broadly consistent across regions?
Jay Hennick : There was a little bit of M&A transactions in the growth in Outsourcing & Advisory in this quarter. So there's a little bit of that. But otherwise, it just continues to grow and be strong. And there's nothing really to point to other than we ourselves were surprised at the extent of the growth in that particular business segment this quarter.
Frederic Bastien : Are you seeing sort of the benefits of maybe cross-selling the services across your platform?
Jay Hennick : Well, cross-selling for sure is an element. I think there was a lot of pent-up demand and a lot of services. We're seeing -- we're seeing a lot of advisory services around return to work, relooking at existing infrastructure and offices and what changes we could be making to help adjust for the new norm. So cross-selling, but I think more pent-up demand and alteration or potential alteration to the construct of an office is really driving some of that as well.
Christian Mayer : Fred, one other thing I'd add to that is that in Q2 of '20, we had a few delays on some of our project management assignments, in various parts of the world. So that's obviously all back to normal and those contracts are proceeding. So that's part of that variance as well.
Frederic Bastien : Okay. That's helpful. While we got you, Christian, you used to quantify the contribution of your tuck-in acquisitions to overall growth. Are you able to share the impact of M&A on both capital markets and the outsourcing advisory practice?
Christian Mayer : No. I mean we've got the internal growth rates for the -- on a consolidated basis, but we're not going to get into the details around the growth rates by service line.
Frederic Bastien : All right. Fair enough. My last question, the market for labor and professional seems to be getting tighter and tighter by the day, has this slowed your ability of their crude to recruit and retain talent?
Jay Hennick : Yes, it has, for sure. It has impacted us differently in different areas. I would say in property management, not as much in brokerage, I think our transaction services across the board were up versus last year nicely. I think part of that is our strong recruiting programs, which are firmly in place and continuing to gain momentum. But I think in the new areas in Engineering & Design, talent is critical. It's an ongoing battle there. We've been successful, but it's all out warfare there. And investment management also is another area where it's an attractive area to work but picking the right people is critical. So -- but interestingly, through the past sort of 18 months, retention rates have been very high for us at Colliers. And I think that bodes well for our unique culture that we talk about and a variety of other things. We just -- it's not to your question, but it's current for us. We just completed our annual engagement survey across the board, and our numbers were better than ever. And that's, that's a metric that we use and abuse deeply for many years to gauge the strength of our culture, and it just seems to get stronger each year. So we're gratified by it.
Operator: Our next question comes from the line of  with BMO Capital Markets.
Stephen MacLeod : I just wanted to -- just circle around the Americas, you had very strong growth there on the top line. And I'm just curious if you can give a little bit of color around any sort of geographic or regional strength you saw in the Americas and sort of how things are shaping up into Q3?
Christian Mayer : Yes. Steve, you're right. I mean, the Americas were very strong in the quarter. I think it was broad-based across the region. Canada, U.S., even LATAM had strong performance year-over-year there. And certainly, we're benefiting from the mortgage business and the engineering business that was acquired -- the 2 businesses that were acquired early last summer. So I mean those are in the numbers in the current year quarter, but not in the comparative quarter period. And mortgage itself had a great quarter and another strong quarter for originations in the multifamily space. Also refinancing activity in the multifamily space continues to be strong. So that was a nice contribution to the overall results. As I outlined in my prepared remarks, capital markets and leasing were both very strong during the quarter. Capital markets more than double, leasing up nicely, especially in the industrial side of things, and obviously, still some work to do and some rebound to occur in office leasing as we look ahead to future quarters.
Stephen MacLeod : That's great. And then you mentioned also in the prepared remarks, some -- I guess, I don't know if you call it weakness around office or, I guess, sort of offices are picking up. Can you just talk a little bit about how that trend has evolved over the last couple of quarters with more generations around return to work and things like that?
Christian Mayer : So office leasing has been significantly impacted, obviously, each quarter over the past year. Our leasing revenues have rebounded as indicated in my prepared remarks. Office leasing is a smaller component of our overall leasing revenues now than it was, and office leasing is still around 29% below 2019 levels at the current stage. And we've increased, in fact, our industrial leasing activity over 2019 levels, resulting in overall office leasing being -- sorry, overall leasing being down 9% relative to 2019 levels. So things are improving. And I think as we look ahead, we expect that improvement to continue.
Jay Hennick : The one thing I would add to that, Steve, is that office leasing is anything but clear right now. And I think that, that applies virtually around the world. You're seeing leases in offices. Some firms are being very bold, but most are taking still a short-term approach. They're taking their time to understand how their offices should be reconfigured. They haven't finalized plans on return to work and what that means. Are they coming back in September in some markets? Are they insisting on vaccinations for everybody that comes back in the market? So the office component is really still uncertain. And as you probably remember, the revenues that we generate from office leasing compared to other leasing forms is generally higher. But as Christian said, we've always had a very strong industrial leasing practice. And so that's why our numbers are doing so well in terms of -- leasing numbers are doing so well in terms of rebounding -- but until the office market starts to come back with some clarity and certainty, it's still going to lag the capital markets piece of it.
Stephen MacLeod : Okay. That's great color. And then maybe just finally turning to the outlook. It looks like really the numbers -- your outlook increased on the back of a strong Q2. And I'm just -- just curious if you can talk a little bit about sort of whether this momentum that you saw in Q2 is continuing into Q3 and Q4, maybe -- what your outlook is relative to kind of back half of last year where organic revenues were rebounding but still down year-over-year?
Christian Mayer : Steve, it's a great question. The back half of last year was a significant improvement over Q2 of last year. So things improved progressively through 2020. And that's certainly something we're cognizant of as we think about our 2021 back half, and those comparisons are going to become closer. And also -- we have also -- we've now  the anniversaries of our larger 2020 acquisitions. So as I mentioned earlier, the growth in the second half will be organic primarily. And we also, last year, had the mortgage -- Colliers Mortgage acquisition, which we completed in June. And as you may remember, Colliers Mortgage had record activity in the third and in particular, the fourth quarter last year with multifamily origination and also refinancing. So those will -- that will make for some tougher comparisons in the second half of '21 as we look ahead.
Operator: Our next question comes from the line of Scott Fromson with CIBC.
Scott Fromson : So you mentioned discussions on the reimagining of offices. Just recognizing the high degree of... 
Jay Hennick : Sorry, we can't hear you. Can you say that again?
Scott Fromson : Can you hear me?
Jay Hennick : No.
Scott Fromson : Okay. I'll hang up.
Operator: Our next question comes from the line of Stephen Sheldon with William Blair.
Stephen Sheldon : Just one for me. On the commentary for operating costs to increase in the second half of the year, are you more or less assuming that you're going back to kind of a normalized operating environment, I guess, meaning that the temporary cost savings in 2020 in areas like travel and entertainment or moving back to what you typically expect, and so be some normalization second half of this year and into the first half of 2021? Would that be the right way to think about it?
Christian Mayer : Well, Stephen, we've been operating with a very disciplined approach for the last 1.5 years around the pandemic, and we've taken support costs, out of the business support staffing and also, obviously, the travel and meetings and events and stuff like that. Some of that activity is going to return in the back half of the year. And that's included in our outlook. But certainly, we don't expect the full amount of costs that we had prior to the anemic return. As you may recall, we took about $145 million of cost out during 2020. And our expectation is that about 80% of those costs will return and the balance will not and will result in operating leverage and margin improvement in the future. So that's the way we're thinking about it. But through the first half of this year, we continue to operate in a very disciplined and lean way. And we think that the way things are opening up now that some of those costs will return in the second half.
Operator: Our next question comes from the line of George Doumet with Scotiabank.
George Doumet : Congrats in a really strong quarter. Just maybe talk a little bit about the guidance. It seems that the midpoint suggests flat. I'm just wondering to what extent does your guidance kind of assume that the office lease level, things that were down 29% versus 2019, how much of that guidance assumes as that kind of normalizes in the back half or  of that.
Christian Mayer : So George, just to clarify, our year-over-year growth in EBITDA is in the 25% to 35% range. You may have been referring to something else there.
George Doumet : I was talking about the second half -- in terms of second half, given the really strong first half number. It kind of implies -- I think it implies to that in the second half?
Christian Mayer : Yes. I mean, we had -- as I mentioned, results were improving for us in the second half of 2020. So the comparisons are going to become closer in terms of our back half of this year. We also have had the benefit of the acquisitions that were completed during 2020, which have caused significant growth in the first half of this year Because that acquisition is now . They'll be in both the prior year period and the current year period for that when you consider the back half of this year versus the back half of last year, Also, as I mentioned, the mortgage business had a very strong finish last year with record activity levels in the back half of 2020. We also expect operating costs to return as the previous questioner was just asking about. So there is -- there are a number of factors at play in terms of the way we think about the outlook. And we certainly hope that we can achieve the upper end of that range. But we want to maintain a range of outcomes here, given the uncertainty that we still see in the market. And as we mentioned, there is some COVID-19 impacts still lingering our Asia Pac business. There's some markets that are in lockdown, and it's uncertain what's going to happen, and what that will mean in terms of the transactional revenues that will occur in the back half of the year.
George Doumet : Okay. Understood. And question on that note, are you willing to share kind of the embedded assumption in there for office lease in the back half of the year, maybe relative to '19 or relative to last year at all?
Christian Mayer : Yes. I mean -- look, we've got a range of assumptions there, obviously, the revenue and the EBITDA guidance is a relatively wide band. And at the higher end, we would be coming, I think, close to 2019 levels for leasing as a whole.
George Doumet: Okay. Great. And maybe a question to Jay. Given the recent strength and the resiliency of the Industrial segment, I'm just wondering to what extent you'd want to be there maybe in a much bigger way than you are today?
Jay Hennick : I'm sorry, I didn't hear the last part of your question there.
George Doumet : Yes, sorry. I'm just wondering to what extent you would like to be in a much bigger -- have a much bigger presence in the Industrial segment than we do today?
Jay Hennick : In the Industrial segment?
George Doumet : Yes. Industrial leasing.
Jay Hennick : Yes. Oh, industrial leasing. Okay. Look, I think we have been picking up share market for market in all transaction services. So it's a difficult question to answer because market for market, we look at our gaps, we try and strengthen our areas of opportunity. And so leasing of all segments is a key part of our strategy. I would say, as I alluded to earlier,  players has always been known for its strength in the industrial side of the world. So leasing for us has been less effective. And -- so the opportunity was always expand our office leasing, office mean CBD office, tripled high-quality central business district office, leasing was a big opportunity for us. Obviously, it's impacted others. I think a little bit more so than it has us. Although we have during COVID been very successful at recruiting some strong CBD office leasing strength in a variety of major markets around the world. So we'll see as we come out of this how we respond. But just to step back, where I thought you were going is that the diversification of our business is quite unique amongst our peers. We have now with our 2 additional platforms, including and plus investment management a much wider and diverse business in so many ways. So the transaction side of our business, although critically important and highly profitable and has made a name for Colliers globally around the world, is a portion of our business that will continue to grow nicely. But I think you're going to see greater growth from those other areas over the next year or 2 or longer.
George Doumet : Okay. That's helpful. And just one last one, if I may. Very good growth in fundraising activity and investment management, AUM. Can you talk a little bit about the momentum that you expect there as we kind of go into the second half and into next year? Or maybe share with us some fundraising activity that's  through the year.
Jay Hennick : Yes. Harrison Street, let's start with results. Harrison Street, over a long period of time, has delivered phenomenal results in every metric, 1, 3, 5 years since inception. They've always been able to deliver in the top, I would say, quartile, the decile in certain categories. They have focused on assets that are differentiated. You might call a little bit more complex, and they manage them well. And as a result, they've delivered great returns for investors. And what's happening is as people are looking to allocate their capital, this is a very interesting area for capital allocation. And I'm cautiously optimistic that the third quarter and the fourth quarter will be record fundraising quarters again for Harrison Street. We never know, I'm touching wood as I say this, you never know. But there's lots of activity, both in fundraising and also in allocating those that capital to appropriate transactions, whether it's in North America or in Europe, where they're both -- they're strong -- very strong in North America. They're establishing a new fund in Canada, which hopefully will become live in the next 45 days, first for Harrison Street. Their European funds continue to grow. And so we're very excited about the prospects for Harrison Street. It's a dynamic management team that have been around a long time, on a significant equity stake in the business, and are driven to significantly improve the business in the coming years. And they've done that with things like infrastructure, social infrastructure, open-ended funds among other things. So yes, we're very excited about Harrison Street.
Operator: Our next question comes from the line of Daryl Young with TD Securities.
Daryl Young : First question is on the margins in the Americas. I know, Christian, you mentioned that there would be a return of a loss cost  in the pandemic. But I think even prepandemic, you're on a path to sort of integrating that platform and then taking cost sets. So I was just wondering if you wanted to kind of share some of the opportunities there or if today's run rate -- or if today's margins are a run rate?
Christian Mayer : Yes. I mean relative to historical numbers, our margins in Q2 this year are meaningfully higher, absent the pandemic, they meaningfully higher as well. And that is because of the service mix we now have with the 2 acquisitions that were completed last year, Colliers Mortgage and Colliers Engineering, which are both accretive to the Americas margin. But in terms of the opportunity, it has been in the U.S., where we have focused over the last number of years to enhance the efficiency of that operation. We have integrated businesses that we've acquired and we've been very active acquirers in the U.S. for many, many years. And every year, we acquired 2, 3 or 4 meaningfully sized businesses there within our transactional business and property management. Businesses, and those businesses are then integrated over time, and we are able to become more efficient and reduce costs through that process. We also have -- over the last couple of years, in particular, taking steps to become more productive in terms of our flow-through from transactional revenue. And those steps are starting to bear fruit, here and evidently so in the second quarter and the year-to-date results for 2021. I think we're on a good path and our U.S. business, the transactional business, in particular, is on a path to continue that margin enhancement over the next 2 or 3 years. And then we hope to get that business up to 12% margin relative to what we've seen historically in the 8% range. So it's a pretty meaningful lift on a pretty large part of our business, which will impact our consolidated margin positively over time.
Daryl Young : Okay. Great. And then on the sales transaction side, just curious what your views are on how much of the activity is a pull forward of future deals just in the low rate environment? And maybe what your kind of macro or longer-term outlook is for transaction activity levels?
Christian Mayer : Yes. I mean in terms of pull forward of transactions and timing. I mean, I guess there is a sense out there that there is some pent-up demand for activity. But I think markets are generally -- they're strong. There is confidence that there borrowing costs are low credits available. And I think businesses and investors have the desire to transact. So I don't think it's as much an issue of pull forward or pent-up demand. It's just -- activity is strong for the factors that I mentioned.
Daryl Young : Okay. Great. And then just one last one. We've seen some big announcements, obviously, in the funding environment in the U.S. for infrastructure spending. And just curious what the pipeline of work is looking like for your engineering services business, particularly in the U.S?
Jay Hennick : The pipelines are -- pipelines for engineering and project management are good. I would say, of course, better than last year, but they have not yet translated into the boom of infrastructure spend that we were hoping for. I think there's a lot of talk in Congress now about approving a plan. We're excited about them doing that because that will translate. But we've got -- one of the great things about that business is it's got long-duration contracts. And so we've got full pipelines. And as I mentioned earlier, one of the constraining factors is people. And so we are -- I think we're in a great spot. But the -- we're going to need great people to execute. And -- so we'll wait and see how we do. But I think the trends, the tailwind is positive, and we hope to capitalize well as soon as it starts to roll out.
Operator: Our next question comes from the line of Matt Logan with RBC Capital Markets.
Matt Logan : Jay, in your press release, your comments touched on developing Colliers Engineering and Colliers Mortgage as growth engines for the future. Can you talk about what's changed since you acquired these businesses and perhaps some thoughts on your competitors following you into the engineering space as well.
Jay Hennick : It's a great question. First of all, a lot has changed. One of the big things is we've rebranded as Colliers Engineering and design as an example. And we started with what we thought was a great platform. We started with a platform of great professionals that did not want to be acquired by a firm and be owned 100% by a firm, they wanted to be partners in the operating business, which is sort of the philosophy of Colliers. And since that time, they've added in acquisitions that they probably added 30% or 40% of their revenue. They've got an active pipeline of acquisitions. Their philosophy is different than the others in the sense that they want to be partners, and they want a perpetual partnership between Colliers and the people that make it happen every day, something that we're quite used to. And so I think we are feeling bullish. Margins have gone up considerably in that business. And part of that has been some of the disciplines that we brought to the table from a Colliers standpoint. So the ultimate work is not dissimilar to the work done by the other engineering firms. We don't need to be the biggest as Colliers. We need to be very good at what we do, and we need to leverage the relationships that we have around our clients, which is something that I think we bring to the table that some of the others don't. So those are a couple of the differentiators. But I think at the end of the day, in a professional services business, it's all about having shared ownership between a strong capital partner that understands how to grow and exceptional professionals that understand how to execute and manage their businesses effectively. And I'm very happy to see how Colliers Engineering and design operates its business both before we acquired it. And its margins would indicate that it's doing even better after.
Matt Logan : Great color. And maybe continuing on with your comments on the acquisitions. Colliers is incredibly well positioned with debt to EBITDA under one turn and more than $1 billion of liquidity. If we take a medium- to longer-term view, how should we be thinking about leverage? Would it be fair to say the business can be managed with sustainably higher leverage, perhaps somewhere in the 2 to 3 turn range instead of the 1 to 2 turn range that we've seen historically given the evolution more diversified business?
Christian Mayer : Yes. That's a great question, Matt. At the present time, I think we are comfortable in the 1 to 2x leverage range. We would be also be comfortable to take leverage to a higher level temporarily as we think about potentially a larger acquisition down the line and having a path then post acquisition to delever back into that 1 to 2x range. So that's the way we're thinking about it right now. In terms of your question, there is no question that as we execute on our plan and as we increase our recurring revenue base and EBITDA base into something like around the 2/3 of our EBITDA being recurring, we could sustain higher leverage, higher level of leverage at that -- with that type of a business mix, certainly something that we're thinking about for the future.
Jay Hennick : The only thing I would add to that, Matt, is -- and you'll understand this, there's a management piece of this and a differentiation piece of this that's important. In private equity, I don't know how people do this. It's a different life, but they're happy to take leverage up to 5 and 6x and worry about leverage every single day. When you do that, you can't invest in the future. You can't invest in technology, you can't invest in people. And all -- everybody talks about every single day is cash flow, did we get the cash flow, did we pay the bank down to whatever levels. That's never been our way. Our way has been to build long-term shareholder value. And when you have a partnership structure in a couple of our platforms as we do, that has been the way of our partners. And our partners are all about creating long-term value, long-term sustainable value. And as we move leverage ratios up, and Christian's right, the more recurring revenue. And I believe we have a lot of recurring revenue. And I believe in a private equity environment, somebody could easily leverage our business to 6x or 7x leverage and be just fine. I wouldn't be managing a business at that level personally. But I think you could do it. It's just not been our way. And I think our way has been successful over many years. And it would be a shock, I think, to our leadership teams if we started to bring our leverage up to private equity type levels and may create some near-term growth but would also create not long-term sustainable growth, which is what we're trying to accomplish.
Matt Logan : And maybe just a couple of hostkeeping questions here before I turn the call back. In terms of your guidance for the second half of the year, I know Q2 is incredibly strong, but would your outlook for Q3 and Q4 have changed at all vis-a-vis Q1?
Jay Hennick : Not meaningfully, Matt, pretty similar. Yes. And that's really embodied in the way we've updated the outlook.
Matt Logan : And in terms of your margin, your guidance would imply a level of around 13.5% for 2021. Do you see this as sustainable or perhaps even growing as we head into 2022?
Jay Hennick : Yes. No, I think it's absolutely sustainable. And we'll see where we go to in 2022. But our goal would be to sustain it or increase it over time.
Operator: I'm not showing any further questions in the queue. I would now like to turn the call back over to management for closing remarks.
Jay Hennick : Okay. Thank you very much, operator, and thank you, everybody, for participating in this second quarter conference call. We look forward to our third quarter conference call. And with fingers crossed, hopefully, we'll have positive results there as well. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.